Vesa Sahivirta: Good morning, everyone, and welcome to Elisa's Fourth Quarter 2025 Conference Call. I'm Vesa Sahivirta, Head of Investor Relations. This is now a purely conference call. We don't have audience today here. So we start with the presentations, and the team is here, CEO, Topi Manner; and now as first time, CFO, Kristian Pullola. And I think we are ready to start. So I give the word to Topi. So please go ahead.
Topi Manner: Thank you, Vesa, and good day, everybody. Welcome to this Q4 Elisa earnings call. And let's get right down to business and go through the Q4 highlights. During Q4, our revenue increased by 1.5%. That was predominantly driven by mobile service revenue growth but also related to growth of revenue in international software services. Mobile service revenue growth amounted to 2.4% and the telecom service revenue, to 2.2%. And to telecom service revenue, we include both mobile service revenue as well as fixed service revenue. In international software services part of the business, the Q4 total revenue growth was 11.3%. The comparable organic revenue was flat, predominantly driven by projects being postponed to 2026. Importantly, in this part of the business, the full year EBITDA was positive, as we stated at the start of the year. So in that sense, we delivered according to our plans. Looking at the total company, comparable EBITDA was at the previous year's level despite quite intense competition during Q4, leading to increased temporary sales cost. The amount of those sales costs was EUR 5 million to EUR 6 million during the quarter. Comparable cash flow was very strong during Q4, especially driven by net working capital efficiency. Comparable cash flow grew by 37.6%. In Finland, postpaid churn was 23%, reflecting also Q4 being seasonally, typically, the highest in terms of churn. But then again, if you look at Q3, Q4 churn in total, that is a reflection of intense competition in mobile services on the market during those quarters. Postpaid subscriptions decreased by some 2,000, and then M2M and IoT subs grew by some 19,000 pieces. The fixed broadband subscription base increased by 6,000. So we are seeing a gradual pickup in those subscriptions, which is positive. And then importantly, during the quarter, we maintained our market share in consumer postpaid subscriptions in Finland, as we stated in connection to our Q3 report. So in the intense competitive environment, we showed competitiveness by maintaining our market share. The transformation program that we launched in connection to the Q3 report proceeded well during the remainder of the year. We have been conducting the first phase of that transformation program, leading to reducing 360 jobs in the company. And that means that majority of the cost savings that we are targeting has already come into force from 1st of January onwards. So we are well on our way of delivering according to the plan and realizing EUR 40 million of cost savings on the back of the transformation program during the course of 2026. And then finally, our Board of Directors proposes a dividend of EUR 2.40. And assuming that the AGM so decides, this would be a 12th consecutive year of continuously increasing dividend in Elisa. Looking into the numbers a little bit more deeply. As stated, revenue landed at EUR 588 million during the quarter, and we saw 1.5% increase in that one. On top of the international software services and mobile services, we also saw equipment sales picking up a bit. In terms of EBITDA, the EBITDA for the quarter was impacted by the mentioned temporary sales cost. These costs would be related to the competitive situation in the sense that we have been having marketing costs like gift cards, related to our mobile services business, and also investing to promotional sales force, for example, in shopping malls, in fairs and these kinds of events -- also in telemarketing. And when you look at the EBITDA margin on a year-on-year basis, the impact of these temporary sales cost was approximately 1% unit, as stated, amounting to some EUR 5 million to EUR 6 million during the quarter. Mobile service revenue, 2.4% up with continued 5G upselling. I will come back to that in a minute. And then when we look at the ARPU development, the ARPU grew 3% on a year-on-year basis, also driven by the upsells, but also the value-added services in the form of the security features that we have been introducing to the part of our customer base during the year. Now when we look at what has happened on the market after Q4, we have seen, in January, some front-book price increases taking place on the market. We were the first mover on that as a market leader. And this leads us to think that our operating environment will gradually improve during the first half of '26. Going into the segment-specific reporting. Consumer customer segment was impacted by the competition during the quarter. The temporary sales costs that I mentioned were impacting in full the consumer segment, and that is visible in the comparable EBITDA development for the segment as well as the EBITDA margin for the segment. The revenue growth for the segment was 1.9%. In corporate customers, we saw some quarterly fluctuation in terms of revenue. But if we even that out and especially if we look into EBITDA development, corporate customer segment developed in a stable fashion and the EBITDA margin actually increased with 1% unit on a year-on-year basis to EUR 63 million. In international software services, the profitability picked up during the quarter and landed at EUR 4 million in terms of EBITDA. On the back of that, as stated, the full year EBITDA for that segment was positive. And then the EBITDA margin for Q4 stand-alone was 9%, reflecting that we are taking steps gradually to improve the profitability of that business as the scale of the business grows. Just shortly looking into Estonia. In Estonia, during the quarter, the revenue increased by 3%. In EBITDA, we also saw some quarterly fluctuation in EBITDA that was largely flat in Estonia, but then especially looking into the full year development, in Estonia, EBITDA increased by 5%, so above the company average of Elisa. And therefore, we can conclude that the market was performing well, and job well done in Estonia. And at the same time, in connection to the Q4 results, we are wrapping up the full year of 2025, and it was a record year in terms of comparable EBITDA development and in terms of revenue as well as cash flow. I think that the high point was that we increased our cash flow during the year with 15%. Revenue increased 3%. Comparable EBITDA increased 3.2%. And in the intense competitive environment, we kept our base of mobile subs largely intact. Postpaid churn during the year was 20.3%, increasing 3.5% in comparison to previous years. This is a reflection of a competitive situation. But at the same time, this is clearly something that we would want to improve for '26. And now as stated, in the first weeks of the year, we have been seeing positive signals on the market related to this. Our strategy, Faster Profitable Growth, is on track, and we stay the course. We have our 4 growth pillars: 5G and fiber, telecom service revenue in effect; home services; corporate IT and cyber; international software services, enabled by simplicity and productivity, that we are especially tackling with the transformation program that we have been introducing. When executing the strategy during the year, we will be putting more focus on customer centricity and AI-enabled growth as well as AI-enabled productivity. And steps are being taken on all of those fronts as we speak. So the bottom line being, we stay the course, we focus on implementing the strategy. During the quarter and at the end of the year, we reached a milestone related to 5G penetration, now hitting the 50% mark in 5G penetration. And with that, we are now disclosing a bit new information to you in this presentation. Previously, we have been discussing about high-speed penetration of mobile services, namely above 200-megabit speeds, including all of our 5G subscriptions, but also some 4G subscriptions. And now this graph is only about 5G subscriptions. As we can see, the 5G smartphone penetration in the market has been increasing to 74%. And as stated, our 5G subscription penetration now hit the 50% mark at the end of the year. And it is a nice, linear trend over the years from one quarter to another, that we also expect to continue from here onwards. What is worthwhile to mention is that 5G stand-alone subscriptions are today already a significant part of all of our 5G subscriptions and the number of those subscriptions is growing steadily. We also have the highest customer NPS score for the 5G stand-alone users. And that is basically signifying that we are already quite well into taking next steps in terms of network technology, providing value to our customers and also being able to monetize that value. In other part of telecom services, in the fiber business, the strong revenue growth continues and then clearly is picking up. We are also transforming to modern technologies in there and ramping down the ADSL technology. Then just quickly taking a look at the domestic services a little bit from a customer and product perspective. In terms of home services, during the quarter, we launched Elisa Entertainment Sound, bringing home theater quality to our entertainment services. This has been well received by customers, and it is clearly boosting the sales of entertainment services. Another development on the product front was that we launched licensed home security services, Elisa Kotiturva service, to customers. It is early days for this product, but clearly, the reception from customers has been upbeat. In corporate IT and cyber part of the business, we launched a new feature to customers, Who's Calling feature. Basically, technologically, we were the first one to be able to crack the code and be able to deliver this information to customers without a separate app being used. So this is a nice feature that the customers seem to appreciate, and the penetration is growing as we speak. On the same space, we also won European Crime Prevention Award for our scam call prevention solution. In Finland, this has effectively meant that on a yearly basis, we are preventing 3 million scam calls on the market, effectively erasing this category of fraud altogether in the market and protecting vulnerable groups, like elderly people. And this is a nice innovation, having societal significance, also something that -- where we have patents and where we can help other telcos in Europe to do similar kind of crime prevention in their respective markets. In terms of international services -- software services, as I mentioned, some of our projects during the quarter were postponed to 2026. We did not lose any deals. We did not lose any customers. This is a timing issue. And therefore, at the end of the year, we had a record high backlog in international software services. The new sales was impacted during the year related to the tariff concerns, and that was very similar phenomenon that we have been seeing all across the software industry globally. During Q4, the order intake, however, picked up notably. And Q4 was a record quarter in terms of order intake for the software part of the business. And on that note, we won a big deal from Ooredoo Group, a big Middle Eastern telco, also reflecting that our product offering and our product strategy is very competitive on the marketplace as we speak. And we have been winning new customers in that telco vertical during the course of '25, which will be supportive of our revenue during '26. And this brings me to the outlook and guidance for '26. In terms of revenue, our guidance is that we see revenue being at the same level or slightly higher than in 2025. In terms of comparable EBITDA, we are introducing an EBITDA range from EUR 815 million to EUR 845 million, the midpoint there being EUR 830 million. CapEx, 12% of revenue. And then related to our outlook and guidance, we introduced certain assumptions. And these assumptions are that we expect our economic and operating environment to gradually improve during the year. And then secondly, we expect telecom service revenue growth being in the bracket from 1% to 3%, where mobile service revenue growth is the main part and main driver of telecom service revenue growth. In International Software Services, we expect an organic revenue growth to be above 10%. So I guess this covers my presentation, and now I will hand over to Kristian before we go to the Q&A.
Kristian Pullola: Okay. Thank you, Topi. As Topi said, the intense competition did negatively impact both growth as well as EBITDA in the quarter. We did especially see temporary sales costs increased during the quarter, partly as a result of increased kickbacks in the form of vouchers, for example. This decreased EBITDA margin by approximately 1 point. I want to highlight that these costs are temporary in nature and can be avoided if the market situation changes. Also an additional note here. When it comes to the costs related to kickbacks, we have a conservative policy as we book these costs upfront, even if, in most cases, the costs relate to fixed-term contracts with a maturity of 1 year. When it comes to CapEx, the strict discipline continued, and our investments were focused into areas that further improve our technology leadership and allow us to continue to upsell both 5G and fiber. We are also making investments into IT systems to drive simplification and productivity longer term. Our fiber investments did ramp up. And as discussed earlier, these mainly take place through the JV structure we established during the first half of '25. And thus, the investments are visible through the increased IFRS 16 liabilities. Then into an area which is very important to me, cash flow. We continued strong cash flow momentum in Q4, delivering 38% growth compared to last year. For the full year, cash flow was up 15%, driven by good net working capital development, especially in inventories where the focus have been during the year. Also lower CapEx continued -- contributed positively, while this was also -- this was somewhat offset by higher cash outflows related to financial expenses. Going forward, we will further focus on cash and cash flow, and I do see possible areas of improvement in net working capital, especially in accounts receivable and accounts payable going forward. Then a few words on capital structure and our returns. Elisa continues to have a solid capital structure, and in the quarter, we took proactive steps to refinance the maturities we have this year. Both the bond transaction as well as the increased loan from the Nordic Investment Bank further improves the maturity profile of our debt. Elisa continues to have industry-leading returns, both on equity as well as on investments. The proactive financing that we did during Q4 resulted in us having somewhat higher cash balances at the end of the year, which temporarily negatively impacted the return on investments. With the cash flow focus and the continued strict CapEx discipline, we want to continue to produce industry-leading returns also in the future. And then finally, to shareholder remuneration. The Board proposes to pay an increased dividend of EUR 2.4 for the financial year '25. The proposal is supported by the earnings development, the strong cash flow generation and the solid capital structure of Elisa. The dividend has been and continues to be our main distribution mechanism. By making payments quarterly going forward, we make the dividend even more continuous to our shareholders. Quarterly payments also give us the flexibility from a financing and a liquidity management point of view. We are committed on our dividend policy, and we will continue our competitive shareholder remuneration. And as I said earlier, strong cash flow focus is a key enabler for this also going forward. With that, Vesa, over to you for Q&A.
Vesa Sahivirta: Thank you, Kristian. And now we move on to Q&A, and we ask first question from the conference call lines, please.
Operator: [Operator Instructions] The next question comes from Andrew Lee from Goldman Sachs.
Andrew Lee: I had just 2 questions. The first was on -- thanks for the great color you've given in the guidance for 2026 around the total service revenue growth. Could you just help us understand the contribution of mobile service revenue growth within that guide? Just you've given us some help on that in the past, especially on the midterm guidance. And maybe just give us a bit more of an insight into how important you see the price rises that you made followed by DNA and Telia last week. How important are they in getting the pricing environment back on track in Finland? Is it quite important or very meaningful? And how have you seen responses to that? And then just second question, you've guided to medium-term EBITDA growth of 4% CAGR. You obviously fell a little bit short of that last year in 2025 and are guiding to be falling short of that again in 2026, so certainly in the midpoint. That puts a lot of pressure on 2027. What are you thinking about in terms of your ability to actually deliver to that midterm EBITDA growth?
Topi Manner: Yes. Thank you, Andrew. If I start from the last one, related to the midterm targets, we are committed to our midterm targets, 4% revenue growth, 4% EBITDA growth. We are targeting that, and these targets are valid. Now in our guidance, we, of course, now need to take the prevailing economic environment and the operating environment into account. And that we have done. But as stated, we will be staying the course with the strategy and targeting the midterm targets by '27. Then coming back to your first question that was around mobile service revenue. As stated in our guidance assumption, we now speak of telecom service revenue, including mobile service revenue and fixed service revenue. And the range for that is from 1% to 3%. And in that, we see that mobile service revenue will be a main contributor to the telecom service growth. And if you look at the development in Q4, the mobile service revenue development was 2.4% and telecom service revenue development, 2.2%. So they were basically going forward hand by hand. And then, Andrew, there was a little bit of interruption on the line when you said something about price increases as part of your second question. So could you please repeat that?
Andrew Lee: What I was trying to understand was just there are some price rises last week, and it's difficult for us to get a sense of scale always in the Finnish market given promotions and below-the-counter pricing, et cetera, et cetera. So I just wondered your sense of how meaningful the price rises and DNA and Telia's response was last week in terms of the progress of the Finnish market, to trying to get back to some sort of rationality given the irrationality of Telia's pricing strategy over the last year or so?
Topi Manner: Yes. Thank you for that. As stated, we have seen during the weeks of January positive signals on the market. And as the market leader, we increased some of our price -- front book prices a couple of -- 2 weeks back. And we have been seeing competitors following those moves. It's early days at this point of time. But when we look at the step-ups in 5G and 4G from the levels of experienced in Q4, those increases so far are noteworthy.
Operator: The next question comes from Max Findlay from Rothschild.
Max Findlay: I just wanted to ask a couple of questions regarding your OpEx. So at Q3, you guided to EUR 20 million of restructuring costs to deliver 450 personnel reductions, but actually delivered EUR 26 million restructuring costs for only 360 personnel reductions. Can you help us understand why restructuring costs were higher than expected and positions reduced lower than expected? And on that note, you suggest that savings not made up by headcount reductions, would include cost savings initiatives like reduced use of outsourced services and procurement efficiencies. Presumably, you need more savings from these reductions than initially expected given fewer headcount reductions. And I just wondered how you think about the net savings from such measures given you presumably will incur some costs by in-housing these services? And then finally, can we just get some color on the EUR 12 million in network dismantling and repair costs, which were also excluded from adjusted EBITDA. Are these costs that you've not incurred before?
Kristian Pullola: Yes. So thanks for the question. So first of all, I think when we set out to simplify and rationalize our organization, we had some estimates in mind both in terms of what could be the potential headcount and the related costs. In the end, after also a thorough kind of negotiation with the personnel, we ended up with somewhat different numbers. And it is a somewhat different mix than what we set out. Of course, you always have buffers in also the numbers, particularly on the headcount side. And then on the cost side, yes, they were a bit higher, but still in the same ballpark. So no drama there. When it comes to the dismantling costs, this is really air cables, related to the copper business that we are now having to take down as the service will be ending and thus, costs that we haven't occurred in the past. And I don't see that we would have similar costs in the future either. And thus, we are dealing with them as a one-off item.
Topi Manner: And just to continue on the transformation program. So we introduced it in connection to Q3. And now we are through the first phase of that transformation program, which included the headcount reductions. And we are proceeding well in accordance with our plan, meaning that with the headcount reduction, majority of the targeted cost savings for '26 has already come into force. But we will continue with the transformation program. And like you mentioned, we will be looking into outsourced services, for example, in the area of IT consulting and software development. We have opportunities there. We will continue our initiative of taking a long and hard look on the procurement of the company, materializing cost savings from there. And then we will be continuously working with AI-driven productivity going forward. The bottom line of all of this being that we are well on our way on delivering on the EUR 40 million target.
Operator: The next question comes from Paul Sidney from Berenberg.
Paul Sidney: I had 2, please. Firstly, you've stated that Elisa wants to maintain your #1 position in Finnish mobile, maintain your postpaid market share. I was just wondering, is this still the plan over 2026 and beyond? And just wondering how you sort of balance that with protecting your back book ARPUs? And just wondering if this volume strategy is the right one, given we're seeing some of your European peers focus more on price increases and not be obsessed about volumes? And then just as a second question on comparable cash flow. I think you generated EUR 411 million in the year. You've clearly got a very clear focus on free cash flow given your presentation remarks, but you have no targets for '26 and '27. So I was just wondering if you could help us in terms of the direction of free cash flow over the next couple of years? If you could give us a bit more detail around that?
Topi Manner: Okay. Thank you. If I could take the first one and then Kristian will continue with the second one. So related to the mobile service business and our strategy on the Finnish market, we are a market leader. We want to maintain that position on the market. So we are committed to keep our market share, like we said in connection to the Q3 and like we delivered during Q4. At the same time, it is very important to note that we are a responsible market leader. We don't want to grow our market share, and we don't want to fuel irrational behavior in the market. And we have been striking that balance during the Q4. Our strategy in mobile services is a value strategy. We want to provide customers with value. We are a technology leader. We have 50% penetration in 5G. We have a significant portion of our subscriptions already in 5G stand-alone network, and our competitors have not started on 5G stand-alone as of now. And then we have, during the year, brought value-added services to our customers in the form of the security features. And our plan in '25 was that we roll out the security features to some 600,000 customers, and that we did before Q4. And then to start with Q4 rollout, was not planned to play a big role in that. We continue to do this during '26, building our ARPU, in our business. But the security features rollout, we will be pacing in accordance with the competitive situation on the market. But we definitely see possibilities to bring value to our customers with all the kind of innovations and features like Who's Calling service and others that we have innovated.
Kristian Pullola: And on the cash flow question, you're right, we haven't provided any specific guidance or targets on cash flow. You need to give us a bit time to get back to that topic. But as I said, last year was strong. We had clear measures when it comes to inventories. I think inventories are now on a good level. We need to continue to maintain that level going forward. We will now look at additional areas and see how much cash conversion can we drive from those net working capital areas. And as we have clarity on that and as -- and if it makes sense, we'll then get back to more clear targets around cash flow. But rest assured, this is an important area of focus for me and the team. This is the enabler for us also, continue to pay dividends to shareholders and thus, we are on it.
Operator: The next question comes from Ulrich Rathe from Bernstein.
Ulrich Rathe: I have 3 questions, please. The first one is, the guidance is framed around the expectations of an improving trading environment. And you highlighted the ability to raise prices despite intense competition at the beginning of the year. What other reasons do you have to expect an improving trading environment, in particular, vis-a-vis the behavior of the MVNOs, which I understand, are a big part of this intense competitive environment that you're currently experiencing. My second question is, you highlighted postpaid subscriber momentum and also the business situation in postpaid with 5G. Now in your reporting, you always include M2M, machine-to-machine, as postpaid. Are the comments that you're making about the postpaid situation, including M2M as well, like in the reporting? Or are you looking at the sort of human subscriptions there? The reason I'm asking is that the subscriber base is actually shrinking, excluding M2M, and you're sort of pointing out KPIs there in the commentary that suggests the subscriber base is doing a lot better than that, also on Slide 8, when you're talking about 5G penetration? And my last question is, the ISS organic growth is guided at 10% versus flat last year. You mentioned deferred projects, which probably give you some visibility into the growth, into -- reaccelerating quite materially. But what was the visibility overall to go from flat to 10% for the year?
Topi Manner: If I start from the first one and related to the mobile competition and MVNOs and the operating environment at large, I think that what we need to acknowledge is that MVNOs, of course, have entered the market. There has been 2, Giga Mobiili and [ OMI ]. But the impact of MVNOs on the market has been marginal. They they have not introduced that disruptive price points. So the competition that has been experienced in the market during Q3 and Q4 has been driven by competition between the established players on the market, first and foremost and some of the competitors changing their strategy in that respect. So I think that, that is important to note in terms of the market dynamics. And as a small nugget of information, what we have sort of observed on the market right now during the weeks of January is that Giga Mobiili, an MVNO that is a subsidiary of Gigantti Electric Stores, has actually clearly become more passive on the market. And Gigantti Stores are sort of reinitiating their collaboration with other players, established players, on the market. So clearly, things have not been easy for the MVNOs on the market so far, which is consistent with the historical evidence on the market when we go years back. So I think that, that is useful to say. And then related to the economic environment and the operating environment on the overall -- I mean, if we look at our home market economies, the GDP and consumer confidence, in particular, has been sluggish during '25 in Finland and Estonia, driven by many factors, one of them being the geopolitical situation. Now the forecast is that there would be a small improvement in the overall economy during the course of 2026. And as stated, when it comes to the operating environment, otherwise, we have been seeing -- in the market dynamics, we have been seeing positive signals during the first weeks of January. Then to your second question related to M2M subscriptions. I mean, when we say that our consumer postpaid subscriptions have been stable, and we have been keeping our market share during Q4, that is based on number portability statistics on the market. And M2M subscriptions are not included in that figure. So to use your terminology, this would be human [ postcriptions ] or people-based subscriptions. And then finally, your question related to the ISS revenue momentum. If I remember correctly, then indeed, the backlog at the end of the year is record high, given some of the projects being postponed. And then during Q4, we saw a record intake and the intake clearly picking up -- the order intake clearly picking up during the quarter. We have a competitive product. We have been winning customer deals in a more sizable category than we have been winning in the past. Ooredoo is one of those examples. And then this makes us optimistic about the revenue prospects during '26.
Ulrich Rathe: That's very helpful. Can I just follow up really quick? I realize I'm stressing patience here with 3 questions. But on your first point, we're saying the MVNOs really didn't have an impact. But would you -- how would you frame this? I mean the MNOs have gone into this hyper-competition mode in 3Q and 4Q because the MVNOs came in, I would suspect, but correct me if I'm wrong in this, which then sort of leads to the MVNO impact being a bit muted simply because of this heavy competition of the MNOs. So to sort of simply say, oh, it's the MNOs, it's not the MVNOs that are driving the competition, seems to sort of -- seems to sort of ignore that dynamic a little bit. So I'm just wondering how I should look at that?
Topi Manner: I mean, of course, competitive dynamics on the marketplace are driven by a number of factors. And certainly, the MVNOs entering the market sort of play into that equation as well. But our analysis of the situation is that, that has not been the main driver. The main driver has been competition between the established players and the balance between the established players being sort of -- or that equilibrium being rebalanced in the market.
Operator: The next question comes from Ajay Soni from JPMorgan.
Ajay Soni: Mine -- I've got a couple. One is on the EBITDA guidance. So I think comparable EBITDA for '25 is around EUR 810 million. And then if I just kind of take the building blocks of going into next year, you've got around EUR 40 million of cost savings. I think telecom revenue growth adds another EUR 10 million on EBITDA. You probably have some benefit from ISS as well. So that gets us to EUR 50 million to EUR 60 million higher, which is well above your guidance range. So maybe a nice to ask it would be -- what would need to happen within the market for you to deliver at the low end of your guidance of EUR 815 million for 2026 because it feels like there's quite a few tailwinds which push you above your current guidance range for EBITDA. And then the second one was just around, you mentioned accelerating fiber network construction. So do you still see this being within your current CapEx guidance of around 12%? Or do you see a need to maybe increase that in the short or medium term?
Topi Manner: We'll start from the first one. The question about the lower end, what would need to happen? I think that we would need to see the kind of competition levels that were experienced during Q3 and Q4 to prevail during the course of '26 and even intensify. And then we would need to see in the B2B part of the business, both on the home market as well as in industry, the economic situation not picking up and then new kinds of geopolitical uncertainties materializing in the market, for example, impacting the software business and then on top of that, us not being able to move forward in cost efficiency-related measures in the planned way.
Kristian Pullola: Maybe just an additional note there. So as we said after Q3, the EUR 40 million OpEx savings that we get from the restructuring and the savings that we have executed on, some of that will be invested back to growing the business. So that will not all be kind of visible as a net reduction of OpEx going forward. Some of that will be kind of reallocated to drive faster profitable growth going forward throughout the business. So that's also a good thing to keep in mind. Then on the fiber investment. So first of all, we are committed to the 12% CapEx target that I stated, and that is part of the guidance also. But then as I said, some of our fiber investment that was ramping up during last year is done through the JV structure that we have established and in that sense, is a more kind of capital-efficient way to ramp up. That's part of the EUR 200 million investment program that we have also talked about in the past. So we'll be dealing with parts of the fiber investment in that sense outside of the 12% target.
Operator: The next question comes from Felix Henriksson from Nordea.
Felix Henriksson: I have 2. One is on the dividend. You're now paying out more than 100% of your comparable EPS as opposed to your target of 80% to 100%. Is this something that you consider acceptable going forward? I know it's a Board decision, but any commentary around that would be great. And secondly, can you open up the dynamics in your fixed business for 2022 -- 2026, I mean, in particular, when it comes to the ramp down of the ADSL business and at the same time, growth in the fiber business? Overall, should we expect growth in fixed service revenues for 2026?
Topi Manner: So when it comes to dividend, it is very important to note that our dividend policy stays intact. And when you look at the dividend proposal for the AGM now, EUR 2.40, our cash flow covers the dividend in full and more than that. So the focus on cash flow is and will be very important when it comes to the dividend considerations.
Kristian Pullola: And then the second part, do you want to take that you want to take that on the fixed business?
Topi Manner: Yes. Felix, could you please remind me, was that about ADSL? Or -- can you...
Felix Henriksson: Yes. Just about the dynamics between ADSL ramp down and growth in fiber, should that overall lead to positive growth in the fixed service revenues for 2026?
Topi Manner: Yes. I think that -- I mean, we are sort of seeing sort of a gradually changing momentum in the fixed service business. We are ramping down legacy technologies, PSTN, like we announced during the course of the year, other technologies, like ADSL as well. And at the same time, we are seeing fiber take-up -- picking up in terms of FTTH, FTTB and potentially going forward with new categories, like data center connectivity. So that is something that we are expecting in terms of future development.
Operator: The next question comes from Sami Sarkamies from Danske Bank Markets.
Sami Sarkamies: I have 3 questions. We'll take this one by one. Firstly, coming back to dividend. You've been previously raising dividend by approximately 4% per annum. Now that's been cut to half. You still keep your medium-term targets, which should indicate sort of 4% EBITDA growth and sort of covered dividend even with sort of the earlier increases. So can you explain what's, call it, broken that you're cutting back on the dividend growth?
Kristian Pullola: I think -- so first of all, I think it's fair to say, as Topi said, we are sticking to our targets of 4% plus 4%. Then as was visible during this year, some of the line items below EBITDA are, from a cost point of view, growing faster than EBITDA, which is then reducing the growth of EPS. And that is a dynamic that we need to take into account. Having said that, growing the dividend by EUR 0.05 on the back of strong cash flow is a good performance.
Sami Sarkamies: Okay. And then next question on campaigning. I think you said that the additional marketing and campaign costs can be avoided in the future. Why will it be different in the future than in Q4? So what are you thinking here?
Topi Manner: So it is very much driven by the competitive situation, of course. So the temporary sales costs that were amounting to EUR 5 million to EUR 6 million during Q4 are related to, for example, gift cards that were used as kickbacks for fixed-term contracts. This is a market phenomenon. So again, we did not fuel that kind of competition on the market. We responded to competition to keep our market share. This is a variable cost that will -- it's basically a derivative of a competitive situation on the market. And the same goes to additional promotional sales force. During the Q4, we spent money to promotional sales force in shopping malls, in fairs, in telemarketing and so forth. These are typically part-time employees, variable cost and therefore, easily adjustable and yet again, a derivative of a competitive situation.
Sami Sarkamies: Okay. And then lastly, I wanted to check what's been happening in January on the pricing front. So was it so that you did raise prices in January and then both competitors have been following these price increases?
Topi Manner: By and large, so in big picture. And then as stated, as a market leader, we were the first mover in that one, and we have seen competitors following up. Different price points in different channels, but generally positive signals on the market.
Operator: The next question comes from Artem Beletski from SEB.
Artem Beletski: Topi and Kristian, so I still have 3 to be asked. And the first one is relating to ISS outlook for '26. So you do comment, what comes to revenue development and double-digit growth, what you're anticipating, is it fair to assume that we should see also some further improvement in terms of profitability? Could you provide some color on that front? Then the second question is relating to PSTN network shutdown during this year. Could you maybe talk about net impact in terms of earnings? So you will be losing some customers, but of course, there should be some savings associated to it. And the last one is maybe a bit more longer-term question. So how do you see business opportunities relating to data centers? So we have many projects being planned and ongoing in Finland. What is your business opportunity on that front? So those are my questions.
Topi Manner: Thank you, Artem. So starting on the first one, related to the ISS business and especially the profitability outlook, on that one. I think that it's very important to note that during '25, amidst all kinds of tariff-related uncertainties that impacted our software customers business, we grew inorganic and organic growth. Together, we grew with more than 20% in terms of revenue. And we delivered on our soft guidance on profitability, so reaching positive EBITDA for the full year of '25. Then if you look at the Q4 ISS EBITDA margin, we reached 9% EBITDA margin. So we have been gradually improving the profitability as the scale of the business grows. There will be seasonality in ISS business also going forward. Q1 is typically relatively good. Q2 and Q3 are seasonally calmer. And then Q4 is typically the strongest in that business. Adjusting for the seasonality, we expect to see gradually improving profitability in that part of the business as the scale of the business grows and as we get our sales machine humming better and better all the time. Then if you take the PSTN...
Kristian Pullola: I think on the PSTN, so yes, we still have some net sales headwind to work through. But as Topi said to the earlier question, we still see that, that will be more than offset by the growth that we can achieve in fiber. And then you're right, there will be kind of improvements on the cost side that will then also be coming through. So I think during next year, we'll start to move from a situation -- or during this year, we'll start to move from a situation where this is a headwind to one where we'll start to see benefits.
Topi Manner: And then to your question related to the data centers, I think that -- now taking a longer-term perspective on this one. This is a longer-term business opportunity, 5 years onward, 10 years onward and more than that. Finland is a very attractive place for data centers. The cost of electricity is low. The electricity grid is probably of best quality in Europe at least. Climate is cool, stable earth and high-quality infrastructure in terms of telecommunications and other things. So it is clear that data centers -- more and more data centers will be placed in this country. And therefore, we see a longer-term opportunity in this one. We think that we are -- our business in data centers is related to the data center connectivity in particular, the fiber connectivity from data centers to the world. And we think that we are naturally advantaged in that business because we have the best backbone network in the country, meaning that if you build a mammoth data center on a more rural part of the country, you simply need to build less fiber to connect it to our backbone. And this is certainly an opportunity that we are eyeing on over the long term.
Operator: The next question comes from Ondrej Cabejšek from UBS.
Ondrej Cabejšek: Thank you for the presentation, all of the additional color that you are providing today. I also have 3 questions, if I may, and I'll also go one by one, please. So first of all, on the cost-cutting program, the EUR 40 million. So you mentioned that obviously, this is now a bit of a different structure, fewer or less of an impact from the FTE reductions, more of an impact from other things. So is it fair to assume that the impact under this new kind of structure will be more kind of phased into 2027 than before? And is there any reason to believe that because, again, the structure of the -- or the nature of the cost cutting is a bit different that the net impact from this new structure could be less or more than the previous one?
Kristian Pullola: So I think, first of all, maybe it was my unprecise comments that might have triggered your question. And if so, apologies for that. We are on plan when it comes to our EUR 40 million cost reduction program. When we set out and when you set out to do a program like this, you naturally kind of indicate a higher headcount than maybe where you will end up. Our headcount-related costs and the related reduction is on plan. And as a result of that, we are on plan both when it comes to where is it coming from and the pace at which it will come through our P&L. So in that sense, everything is in order there. We don't see that there are kind of mix shift here. And again, there will be no spillage into '27 or anything like that. Having said that, of course, we then continue to work on other areas, areas that are non-headcount related, to find more efficiencies, to drive longer-term productivity. And that's business as usual, particularly in a market environment like the one that we are operating in currently.
Topi Manner: Yes. I think that what Kristian is saying is very important to understand. Majority of the headcount reductions were related to Finland. And in Finland, there is a specific law that at the start of the so-called change negotiations, you need to announce the maximum amount of possible job reductions. That then will be negotiated with the unions. And that means that you cannot, under any circumstance, exceed that number, leading to companies typically announcing a bit higher number than in real life is in their plans. And that is really the case in this situation as well. So the bottom line is that there's no deviation in terms of mix from our plan, and we are well on our way on delivering on the targets of the transformation program.
Ondrej Cabejšek: That's clear. Maybe a clarification. So you mentioned EUR 40 million for this year, the calendar year '26 clear, but surely the run rate of the impact would kind of at least on the non-FTE costs impact positively 2027, right?
Kristian Pullola: I think the impact and the run rate is relatively close to each other. So no need to worry there.
Ondrej Cabejšek: Okay. Okay. Cool. On Estonia, and apologies if you addressed this before and I missed it, but can you explain why EBITDA suddenly from like a -- usual decent growth rate is suddenly negative?
Topi Manner: You mean on Q4?
Ondrej Cabejšek: Yes, exactly, yes.
Topi Manner: Yes. There's some quarterly fluctuation in that one. I mean, if you look at the full year EBITDA growth on the Estonian market, that was plus 5%. And in Estonia, given the structure, especially of the mobile services, and given the structure of the market, many players on the market have conducted inflationary price increases during the course of the year. And they were a little bit sort of more front-loaded during the year -- conducted during the first part of the year. This dynamic most likely will play out in '26 as well, leading to some quarterly fluctuation in Estonia in terms of EBITDA. So I think that in the case of EBITDA, instead of looking into -- in the case of Estonia, instead of looking into EBITDA development in Q4, it is more relevant to look at the longer-term development during the full year.
Ondrej Cabejšek: That is helpful color. And final question for me, if I may. You flagged the extra commercial costs in Finland this quarter to the tune of EUR 5 million to EUR 6 million. I was just curious, number one, I believe this is the first time you're flagging these or at least the severity of these. So I was wondering, is that really -- like did 4Q really get so bad that the amount is high enough for you to flag? Or is it just a case of, in the previous quarters, there were other efficiencies that were maybe mitigating this and there was no reason to flag, but these extra costs have been there all along? Or is 4Q -- or was 4Q really that bad?
Topi Manner: Q4 was very competitive. I mean Q4 is always seasonally the most active in the market with all kinds of Black Friday campaigning and Christmas campaigning. And Black Friday is not 1 day. It's these days, it's basically the whole of November and then continued with Christmas. So there would be a bit of that sort of seasonal campaigning cost on every year. But what we did see is intense competition Q4 -- during Q4, more intense than we have been experiencing in this market in many, many years.
Kristian Pullola: And just to be clear, when we talk about the EUR 5 million to EUR 6 million or the 1% of EBITDA, that is costs above and beyond what we normally see in the fourth quarter.
Topi Manner: Correct.
Operator: The next question comes from Abhilash Mohapatra from BNP Paribas.
Abhilash Mohapatra: The first one was just around the dividends. There's some language in the outlook around sort of the use of the word maximum. So you say you'll pay EUR 0.60, and then the Board could pay up to a maximum of EUR 1.80. If you could just sort of clarify that, if there's anything there? And then related to the dividend, you mentioned sort of improving working capital is a focus. It's going to be a key driver for dividends and sort of covering divids with cash flow. So when you say that, do you mean sort of covering dividends with cash flow, including net working capital contributions? Do you expect that to be a positive contribution going forward? And like would you be able to cover dividends without working capital, is my question. And then secondly, just around the sort of cybersecurity products bundling, which is presumably a big driver of the service revenue growth. What do you need to see that will make you go ahead and sort of execute this or hold back? What do you need to see changing in the market? Because I suppose the MVNOs are sort of now here. They've been launched, and Telia also seem focused on, I suppose, improving the commercial performance in the market. So what do you need to see changing which will allow you to sort of go ahead and execute these price changes?
Kristian Pullola: So maybe if I start on kind of dividend and cash flow. So first of all, dividend, this is now a quarterly dividend, which will total EUR 2.4, so EUR 0.60 a quarter. That -- it's a technicality that we talk about the EUR 0.60 separate from the EUR 1.80, which is then the 3 next quarterly payments because the AGM will make the decision on the first one, give a mandate to the Board, which will then decide on the 3 next quarterly ones. So for all kind of purposes, this is a EUR 2.4 dividend, which is a EUR 0.05 increase from last year. Then when it comes to cash flow, will we be able to cover it without working capital improvements? I would say that we will drive strong cash flow overall and working capital is one lever that we have to being able to generate cash flow to continue to fund the dividend. So it's not the only lever. I'm just highlighting it because we do see that there are -- based on the learnings from this year, there are more opportunities for us to go after in other areas of working capital, and we will do that to continue to deliver strong cash flow going forward.
Topi Manner: And on your last question related to the rollout of the security features and the progress of that, as stated, our original plan was to cover, during '25, those subscriptions where the terms and conditions allow us to make changes during the tenure, and those subscription types are of ongoing nature. And that part of the clientele has now been addressed. It was largely addressed already by the end of Q3. And now during the course of this year, we will be continuing and especially we'll be continuing with the fixed term contract base of our customers. And the terms and conditions of those contracts allow us to introduce the new offering when the term -- the fixed term for the customer expires. And that we will be doing. We will be basing our sales approach to the competitive dynamics on the market. Related to your point about MVNOs, the MVNO pricing has not been disruptive. And that is important to note. The price points that they are using are higher, and that creates us some possibility to continue the security feature rollout. At the same time, we do see that on the prevailing economic woes on our home market, there is a price-sensitive end of the market, price-sensitive end of the customers. And certainly, we will need to take that into consideration when we move forward. The bottom line being that we will be pacing the security features rollout to the competitive dynamics, and we will be gradually moving forward with that during the course of '26.
Operator: The next question comes from Max Findlay from Rothschild.
Max Findlay: I just had a question on mobile. So the midpoint of your mobile growth guidance is 2% despite delivering 3% this year. And as has been referenced several times in this call, your guidance assumes the economic and operating environment improves during the year. Does this imply that the first half of the year, we should expect growth below 2%? And are you factoring in better second half performance? And linked to that, I know we've just discussed facts, but it seems that your kind of value-added services strategy has been less supportive of growth than had hoped. And I was just wondering if this is a fair assessment.
Topi Manner: So first of all, we are not giving assumptions related to the mobile service revenue. We -- related to our guidance, our assumption is that telecom service revenue, mobile service revenue and fixed service revenue together will grow in the range of 1% to 3%. So that is an important note. Having said that, we do expect mobile service revenue to be the main driver of telecom service revenue during the year. And then when it comes to competitive dynamics impacting the security features rollout and the value-added services rollout, during '25, we proceeded according to our plans. And Q4 was planned to be a calm quarter in that respect in any case. Going forward, we will need to take the competitive dynamics into account. And as stated, we will be pacing the rollout in accordance with the competitive dynamics.
Operator: There are no more questions at this time. So I hand the conference back to the speakers.
Vesa Sahivirta: Thank you for participating in this conference call, and we wish you a nice weekend when it comes. Thank you now and bye-bye.
Topi Manner: Thank you very much.
Kristian Pullola: Thank you.
Topi Manner: Bye-bye.